Anas Abuzaakouk: Good morning, everyone. I hope everyone is keeping well. I’m joined this morning by Enver, our CFO; as well as David, our CRO. As a reminder, we have our Investor Day presentation scheduled for this afternoon at 2:00 p.m. GMT. We plan to release the presentation around noon GMT and hope you will join us for the event. We have a lot to cover this morning, so let’s jump right into it with a summary of full year 2024 results on Slide 3. For the full year 2024, we delivered record net profit of €760 million, earnings per share of €9.60 and a return on tangible common equity of 26%. The underlying operating performance of our business was very strong with pre-provision profits of €1.083 billion, up 4% versus prior year and a cost-income ratio of 33%. Total risk costs were €82 million with a low NPL ratio of 80 basis points, down 20 basis points versus prior year. Given the solid asset quality and reducing NPL volume, we released our management overlay with a positive one-off, €35 million pretax contribution. The fourth quarter was strong with a net profit of €240 million and a return on tangible common equity of 32%, which benefited from the one-off management overlay release as well as 2 months of contribution from Knab. We delivered on all 2024 targets with profit before tax greater than €950 million and RoTCE greater than 20% and a cost-income ratio under 34%. We also distributed €393 million in dividends equal to €5 per share in 2024. Our liquidity position is robust with cash of approximately €18 billion, around 25% of our balance sheet. We have been patient and disciplined with our capital and liquidity and are ready to deploy into customer lending as well as add to our securities portfolio when the right opportunities present themselves, meeting our risk-adjusted returns. In terms of balance sheet development, average customer loans were up 28% quarter-over-quarter and up 23% versus prior year. Average customer deposits were up 24% quarter-over-quarter and up 26% versus prior year. Excluding the Knab acquisition, average customer loans were up 2% and customer deposits were flat quarter-over-quarter. We ended the year with a CET1 ratio of 15.2% net of the dividend accrual of €5.50 per share, which we will be proposing to the AGM in April. On a pro forma basis, which considers the acquisition of Barclays Consumer Bank Europe, that closed in February of this year, the return to the standardized approach for the retail and SME business, and the impacts of Basel IV, the CET1 ratio would land at approximately 13.8% representing approximately €175 million of excess capital above our CET1 capital distribution target of 13%, which we’ve laid out for 2024 and 2025. Both acquisitions closed with higher RWAs given the stronger underlying business growth consumed €600 million of capital and are forecasted to add pretax profit of approximately €250 million in 2025 and over €350 million by 2027. Both deals were underwritten at a premium to our M&A target RoTCE over 20% and are more than 3x more accretive than share buybacks versus our average share price in 2024. Although early days, we’ve been positively surprised with the acquisitions, and we’ll dive into this more during the Investor Day presentation this afternoon. In terms of business activity, 2024 was another year defined by staying patient and disciplined, given the rates environment, inflation and subdued consumer confidence. We saw an impact on customer lending volumes at high rates and continued inflation negatively impacted retail mortgage lending opportunities in corporate lending throughout the year. However, we saw a pickup of activity in real estate lending during the second half of the year with fundings in the fourth quarter. We’ve seen this carryover into the first quarter of this year with a solid pipeline of opportunities in both real estate and public sector lending. Once markets settle into a new normal of interest rates and inflation subsides, we anticipate a pickup in mortgage originations and overall lending levels. Despite our record performance in 2024, our best years lie ahead. Our strategy has been consistent since 2012, when focused on being patient, disciplined, cutting through the noise and embracing a continuous improvement mindset. This patient and disciplined approach, focused on risk-adjusted returns, not blindly chasing volume growth and thinking beyond the immediate quarter is not always obvious or understood. However, we are rewarded when unique opportunities present themselves, such as Knab and Barclays Consumer Bank Europe. We have the team, operating capabilities, infrastructure, capital and liquidity to act. With the recent closing of both acquisitions, the integrations are on full swing and we’re excited about the local teams and the many opportunities ahead. Although 2025 will be a transition year in dedicated to integration, we are targeting net profit greater than €800 million. We expect to continue delivering an RoTCE greater than 20% this year and through the cycle as the franchise continues to reap benefits of long-term investments over the years. Moving to Slide 4, our capital development. At year-end 2024, our CET1 ratio was 15.2%, net of our dividend accrual. We generated approximately 370 basis points of gross capital from earnings. We will propose a dividend of €5.50 per share, up 10% from prior year and equal to €432 million. On a pro forma basis, the CET1 ratio would land at 13.8%, with €175 million of excess capital above our CET1 distribution target of 13% for both years, 2024 and 2025. This is after having acquired both Knab and Barclays Consumer Bank Europe, which consumed €600 million of capital or approximately 300 basis points and will deliver over €350 million of pretax profit by 2027. We continue to generate significant amounts of capital resulting from our very strong earnings generation as we are geared to consistently deliver an ROTCE greater than 20%. Moving to Slide 5. Our Retail & SME business delivered full year net profit of €525 million, flat versus the prior year and generating a strong return on tangible common equity of 32% and a cost-income ratio of 33%. Full year pre-provision profits were €810 million, up 2% compared to the prior year with operating income up 6% and operating expenses up 18% versus prior year, in large part driven by the recent acquisition of Knab. Risk costs were €102 million. We continue to see solid credit performance across the business with an NPL ratio of 1.2%. With the closing of the Knab acquisition in November, assets were up 55%, with €12.7 billion of the Knab mortgages added. Deposits were up 47%, with €12.7 billion of deposits added from Knab as well. On Slide 6, our corporates, real estate and public sector business delivered full year net profit of €188 million up 11% versus prior year and generating a strong return on tangible common equity of 30% and a cost-income ratio of 25%. Pre-provision profits were €234 million, down 3% versus prior year. Our release of the management overlay translated into €20 million of pre-tax contribution for the full year. We continue to see solid credit performance across the business with an NPL ratio of 70 basis points, down 10 basis points. We had a strong pipeline of real estate deals fund in the fourth quarter and have a solid pipeline of public sector and real estate opportunities in the first quarter as well. With that, I’ll hand over to David to go to provide a year-end update on asset quality and our overall risk profile.
David O’Leary: Thanks, Anas. Page 8 provides an overview of the asset quality and the balance sheet. With the acquisition of Knab in the fourth quarter, our total assets now exceed €71 billion, an increase of €16 million since Q3 of primarily housing loans in the Retail and SME segments. Of the €71 billion in total assets, €18 billion or 25% is in cash. We conservatively positioned ourselves across excess -- with excess liquidity levels to ensure ample capacity for opportunities that may arise and to support all liquidity scenarios. After €3 billion of investment-grade securities in our treasury book, the remainder of €47 billion or 70% of our assets is in the customer book. The combination of a conservative risk appetite and disciplined underwriting has built a highly resilient and simple balance sheet that has maintained structurally low risk cost and NPL levels consistently over the long term. Over 80% of our customer book is secured or public sector lending, reflecting a multiyear strategy to grow collateralized lending in low-risk asset classes. In terms of segments, Retail lending now comprises €34 billion of our customer loans, 85% of that is secured lending, primarily in Austria and the Netherlands, with an LTV of less than 60%. Corporate, real estate and public sector make up the remaining €13 billion of customer assets. Corporate lending continues to be a challenging market for growth as high availability of capital reduces risk-adjusted returns and loan protections. We have strategically reduced exposure down to €3 billion, representing a high-quality book of senior loans to non-cyclical industries with average leverage levels below 4x. Commercial real estate exposure is just over €5 billion and continues to perform, despite the headwinds of higher interest rates. The office sector overall remains distressed. However, we have significantly managed down the portfolio and feel good about the limited exposure remaining, which I will touch on in coming pages. As of the end of 2024, our risk metrics demonstrate our continued asset quality and conservative positioning. Our NPL ratio is below 1%, where we have run our business since 2021, demonstrating the consistency of asset selection and management. On Page 9, our Retail and SME exposure. The portfolio is primarily comprised of €27 billion of housing loans, 37% are state guarantees and the remainder bears a comfortable average LTV of 50%. While originations have been subdued with the impact of higher rates, we have remained cautious regarding the risk of value declines on the underlying housing stock. Since early 2020, the LTV of our new originations has averaged below 70%. After the impact of both M&A transactions, we expect housing loans to adjust down to approximately 70% of our overall asset mix versus the current high point, reflecting Knab. The remaining, Consumer and SME segment is approximately half consumer loans and half in leasing; Specialty Finance and SME, which is primarily collateralized. 11% or €3.8 billion of consumer loans focus on our better risk class customers. However, as this is unsecured lending, this product is more sensitive to macro developments and unemployment rates. In 2024, we have experienced a return to a normalized pre-pandemic delinquency and loss rates, which have clearly stabilized at this point and represent the majority of our risk cost composition. Given the sensitivity, our underwriting quality and monitoring is critical, we price for through-the-cycle risk levels and focus on customers with high income stability and debt service cushion. This limits our market share by such focus, but it benefits in the stability of the asset class. On slide 10, an update on the real estate portfolio. Commercial real estate grew to €5.5 billion in the fourth quarter, stabilized interest rate environment brought a slow return in transaction activity and some attractive lending opportunities. Our pipeline has been selectively built and several low LTV multi-asset portfolio financings were completed in the quarter. The headwinds of higher rates have not fully cleared yet, and therefore, we continue to be highly selective about this asset class. The portfolio is performing well, a reflection of the underlying residential and industrial logistics assets composing 72% of total CRE. These sectors are supported by continuing high demand and lack of supply. Underlying cash flows at the asset levels have generally increased while the rate impacts are being digested. At senior lenders, we are always first our and typically with granular cross-collateralization that provides diversity and liquidity. The average LTV in the portfolio is 50% with an NPL ratio of 1.5%, demonstrating the overall high quality maintained throughout this rate cycle. Our office exposure in the U.S. stands at €317 million. This is down 50% from 2022 and 31% from the beginning of the year. The growth in the fourth quarter was driven by a multi-asset portfolio financing as well as FX impacts. The financing included a medical office component that was cross-collateralized with other asset classes supporting conservative risk metrics. The performing U.S. office portfolio remains resilient with an average senior debt yield of 9%, demonstrating sufficient and stable cash flows and an LTV of 70%. The U.S. office exposure is currently less than 40 basis points of our total assets and only 4% of our total commercial real estate portfolio. In 2024, our book reduced as deals refinanced away and from pay downs resulting from supportive sponsor activity. We proactively managed credit issues to ensure the protection of cash flows and value. While the market will likely see some stressed assets in the office space continue as maturities work through, we anticipate that our remaining portfolio is well protected and will remain resilient. Moving to Page 11, with details on our reserves and asset quality. The fourth quarter was quite stable. Asset quality improved with a reduction in our Stage 2 loans from 5% -- 4% of the total customer assets. Our NPL ratio improved to a historically low 80 basis points on €601 million balance down from 1%. We completed an NPL sale of Austrian unsecured in the quarter in our active management processes of problem loans through the life cycle results in a long term consistently low NPL profile. During the quarter, we reallocated 50% of our management overlay to increase our modeled ECL reserves as part of a broad model update and to improve coverage on CRE reserves. The remaining €35 million of overlay was released to P&L is excess. This maintained conservatism in our reserve levels, while transparency related to our commercial real estate assets has improved, which resulted in a reserve surplus. Reserve coverage remains healthy at 47% on our non-performing book, and we continue to see steady performance looking forward on our Retail and SME segment. With that, I’ll hand it to Enver.
Enver Sirucic: Thank you, Dave. I will continue on Slide 13, a strong last quarter of the year with net profit of €240 million, and the return on tangible common equity of 32%. All numbers include 2 months contributions from comp. Core revenues at €450 million, up 16% versus third quarter and 14% versus last year. Operating expenses at €165 million, 30% up versus third quarter and 34% versus last year. Cost-income ratio came in below 36%. We had a net release in risk cost this quarter after we released our management outlay with a positive one-off of €35 million. On Slide 14, balance sheet, a few things I would mention here, customer loans at €45 billion up by almost 40% in Q4 and 36% year-over-year, similar changes in customer deposits, which stand at €46 million at year-end, up 37% and 39%, respectively. This is in large part driven by Knab. Risk-weighted assets are in this context, only up 16%, given Knab’s focus on mortgages. Our cash position further increased by €2 billion and stands now at €17.6 billion or 25% of our balance sheet. This leaves us with a very comfortable liquidity buffer to address potential organic and inorganic market opportunities in the future. On the next slide, our customer funding, which is made up of customer deposits and AAA-rated mortgage and public sector covered bonds, is up by 31% versus prior quarter. In terms of customer deposits, we have not seen any relevant structural changes in the fourth quarter. Deposit betas are now at around 41%, including Knab. Without the Knab, we would be at 36%, which is completely in line with our expectations. With that, moving on to Slide 16, core revenues. Net interest income was up by 19% versus prior quarter with a strong net interest margin of 303 basis points. The increase was previously driven by Knab, while BAWAG stand-alone NII would have been largely stable quarter-over-quarter. In terms of net commission income, up by 5%, with an overall good performance across securities and payments business in our Retail and SME segment and Knab’s contribution. On a pro forma basis, after considering our newly acquired credit card business in Germany, we would expect a quarterly NII run rate of more than €450 million and a pro forma NCI run rate of more than €85 million. This leads us to a 2025 outlook for core revenues of greater than €2.150 billion. On Slide 17, operating expenses are up €38 million in the quarter, around 2/3 come from Knab and the rest is mostly share price related tied to bonus awards from prior years. With the Barclays Consumer Bank Europe, we expect the quarterly cost line to be about €200 million and around €800 million for the full year ‘25. This includes any integration costs. On regulatory charges, nothing to mention in Q4, but we expect an increase in 2025 based on the published Austrian government program, introducing a high bank levy. Our estimate is that total regulatory charges will go from €15 million in 2024 to about €40 million in 2025. Moving to Slide 18. Overall, strong asset quality with our lowest reported NPL ratio of 80 basis points. During the quarter, we reallocated approximately 50% of our management overlay to increase our ECL reserves and to improve coverage on CRE reserves. The remaining €35 million of overlay was released, and that release completely offset our underlying quarterly risk run rate and the Day 1 ECL impact from DACH. For 2025, we expect risk costs to be around 40 basis points, including securitization costs and the day 1 ECL impact from Barclays. On Slide 19, our new 2025 outlook and targets although 2025 will be a transition year and dedicated to integration, we are targeting a net profit of greater than €800 million and earnings per share of greater than €10. We expect to continue delivery an RoTCE greater than 20% this year and going forward. All targets do not include any additional M&A or excess capital distributions. And with that, operator, let’s open the call for Q&A.
Operator: [Operator Instructions] And your first question comes from the line of Borja Ramirez from Citi.
Borja Ramirez : I have two. Firstly is, if you could kindly remind me of the interest rate assumption for the NII 2025? And linked to this, if you could also update on the interest rate sensitivity.
Enver Sirucic: So on the interest rate assumption for ‘25, we assumed an overnight interest rate of 180 basis points in ‘25 and on the sensitivities, we are not disclosing the exact numbers. We’ll talk about it at the Investor Day later today.
Borja Ramirez: Just to confirm, this 180 basis points is at year-end?
Enver Sirucic: I think, we expect it to be around summer, the 180 basis points.
Operator: Your next question comes from the line of [Zu Xiang] from Bernstein. Due to no response, I will go to the next question. One moment, please. And your next question comes from the line of Jovan Sikimic from ODDO BHF.
Jovan Sikimic : I hope you can hear me.
Anas Abuzaakouk: Yes.
Jovan Sikimic : Great. Question actually, could you maybe guide us through what was really the impact from Knab since you bought, and also what’s the breakdown or the split of NII per segment because there was a bit of kind of quarter-to-quarter swings also in the corporate, corporate center, right? And the second question would be, what should be the like-for-like loan growth, particularly in the Retail segment? Was there any moves or is it still subdued as I think you specified somewhere in the presentation?
Anas Abuzaakouk: Jovan, you were unfortunately cutting out of it. Can you repeat the question? We heard half of what you said. So, maybe you repeat the question.
Jovan Sikimic : If you maybe can guide us through what was really the impact from Knab Bank in Q4 on the net? And also, if you could elaborate a bit on what really the quarter-to-quarter development on NII per segment, because I think there was some quarter-to-quarter a bit of higher fluctuation in Q4, right?
Enver Sirucic: Jovan, I’ll take this. So Knab contribution overall was as forecasted around €30 million profit before tax contribution and as I laid out on the individual P&L lines, you can pretty much assume stable Q4 comparable to Q3 for BAWAG and the difference coming from Knab. This is true for almost every P&L line. And then on these segments, you’re absolutely right. So still what we need to do after the Knab integration as well as the Barclays integration, we have to adjust the allocation system, because a lot of the NII went to the Corporate center, not to the Retail segment. That’s why you see these moves.
Jovan Sikimic : Okay. So this is kind of technical staff rate issue. And if you maybe can answer on what’s really the like-for-like loan growth in the quarter. I think, there was a bit of minor upside in Corporate segment, but how about Retail? I think you specified somewhere in the presentation that housing was still subdued. Right?
Enver Sirucic: Yes. Net like-for-like, it was 2% loan growth in the quarter.
Operator: Your next question comes from the line of [Xu Jiang] from Bernstein.
Gabor Kemeny : Hello, can you hear me, please?
Anas Abuzaakouk: Yes, we can hear you.
Gabor Kemeny : This is actually Gabor Kemeny from Autonomous -- Bernstein Autonomous. A couple of questions, please. One is just on a follow-up on Knab. It looks like your NII is running ahead of the indication we got a few weeks ago, I think it implies the 2-month contribution somewhere around €350 million and you guided below €290 million. Can you perhaps talk a bit about the difference and the conservatism built into this NII guide from Knab? My other question will be on the synthetic risk transfers. I understand you include the costs in the provision outlook. Can you please split out how much and what is your pipeline for further SRTs this year?
Anas Abuzaakouk: Yes, sure. Gabor, let me start by congratulating the rebranding. Go ahead.
Enver Sirucic: You’re absolutely right. So Q4 was probably the strongest run rate for Knab. And just given the rate sensitivity data we have at Knab, that’s why we guided for a lower NII run rate a few weeks ago for ‘25. So nothing has changed. It’s just a different starting point. On the risk costs, so yes, we do have the risk for SRTs or securitizations in the risk cost outlook. And it’s greater than 5 basis points of that around 40 bps that we forecast tied to the securitization costs.
Gabor Kemeny : Above 5 basis points from SRT, you said?
Enver Sirucic: Yes, greater than 5 basis points of the 40 basis points.
Gabor Kemeny : Understood. And does this foresee further transactions or just the ones you have in place?
Enver Sirucic: Yes, we do assume further transactions in that number as well.
Operator: I will now hand the call back to Anas Abuzaakouk for closing remarks.
Anas Abuzaakouk: Well, that was quick. Thank you, operator. We look forward to seeing and hearing from you this afternoon. And let me just reiterate the presentation will be at -- the Investor Day presentation will be at 2:00 p.m. GMT, and hopefully, the material will be released no later than noon GMT. Thank you, everybody, and I look forward to seeing you later today. Take care.